Operator: Good day, everyone and welcome to Grupo Bimbo's first quarter 2020 results conference call. If you need a copy of the press release issued yesterday, it is available on the company's website at www.grupobimbo.com. Before we begin, I would like to remind you that this call is being recorded and that the information discussed today may include forward-looking statements regarding the company's financial and operating performance. All projections are subject to risks and uncertainties and actual results may differ materially. Please refer to the detailed note in the company's press release regarding forward-looking statements. I will now turn the call over to Mr. Daniel Servitje, Chairman and Chief Executive Officer of Grupo Bimbo. Please go ahead, sir.
Daniel Servitje: Hello. Thank you very much. Good afternoon, everyone, on behalf of Grupo Bimbo. I hope that you and your families are healthy and staying safe during this time. Thank you for joining us today. Connected on the line today is our CFO, Diego Gaxiola, our BBU President Fred Penny and several members of our finance teams. These are certainly unprecedented and very difficult times for all of us. We are living through the most serious health crisis we have ever faced and the depth of its economic and financial implications for countries and businesses around the world is yet to be determined. We are unwavering in our determination to successfully navigate the challenge of these complex times and we have the resilience and agility to do so. Our experienced leadership in every country and our production capabilities enables to serve consumers during this time of disruption and extraordinary demand. Our company has a great responsibility to feed and serve people all over the globe and a greater opportunity than ever before to live our beliefs, to demonstrate our purpose and to fulfill our mission, to put delicious and nutritious baked goods and snacks in the hands of all. This wouldn't be possible without the commitment and determination of our more than 134,000 associates. We specially thank our bakery, distribution center and sales center associates for their extraordinary efforts in baking, distributing and delivering our products to all the stores so that we can continue to feed our consumers. As the virus ha spread around the world, we have taken steps to ensure the safety of our associates and we are put in place plans to ensure the continuity of our operations. We have also made financial decisions which Diego will be talking about shortly, focusing mainly on cash generation and preservation so that we have more flexibility in this environment. I would like to start by emphasizing that we have a strong global presence in an essential industry and this is reflected in our recent results where we posted a 7% growth in sales and over 11% increase in adjusted EBITDA. We saw increased demand, especially in the last two weeks of March as consumers have stocked up on food and shift rapidly to eating more at home. Many of our plants and distribution routes are operating at full capacity given the great demand for bread, buns, sweet bagels, cookies and tortillas, mainly in the modern channel. On the other hand, our QSR and food service businesses, which represent less than 10% of our consolidated sales, have been under significant pressure as a reflection also customers closing stores or stores with substantially less traffic as well as some channels such as school and vending that are temporarily closed. Out teams have been working tirelessly to support our customers, consumers and associates and to continue operating effectively with no major disruptions so far. Some of the actions we have taken across our supply chain are, with our people the safety of our people is our priority. So we are required social distancing, encouraged any office associates that can work from home to do so. Provided additional hygiene steps daily and the right equipment and required temperature checks at our facility to ensure the safety of our frontline associates. In supply, we are buying key raw materials in advance to ensure the continuity of production. We are in close and active communication with our main suppliers to align supply based on risk and on recent trends. In manufacturing, we are prioritizing high-volume, fast moving SKUs to optimize production capacity. And we are increasing our capacity where needed. For instance, we recently reopened our Hazleton, Pennsylvania bakery in the U.S. Production lines that provide basic food to families, mainly bread, are operating at full capacity to meet consumer needs. However, our QSR plants are operating well below their total capacity with four of them closed due to country lockdowns and lack of demand. Our Wuhan plant in China, which was closed in January has recently been reopened. With our channels, customers and consumers, our emphasis is on great service, working to anticipate our customers' needs and our consumers' behavior. We are increasing our presence in those channels with higher demand such as the modern channel, balancing the decline in the other channels like QSR and food service. And within our communities, we have made several global donations to make sure that we support them in these difficult times. Now taking a look at our results of the quarter by region. In North America, sales increased 9.8%, benefit by healthy volume growth and FX rate benefit while our dollar sales increased by nearly 6%. The mainstream bread, buns, snacks and sweet baked goods categories, all outperformed across the region as did multiple channels such as grocery, mass merchandising and club. New product launches such as Thomas' Pick Me Ups and mini croissants also contributed to growth. This was partially offset by weak volumes across the QSR and food service businesses due to COVID-19 outbreak. Adjusted EBITDA, the slight margin contraction reflected higher administration expenses related to accounts receivable provisions mainly in light of COVID-19 and the challenges faced by some of our food service customers. But this was almost fully offset by the benefit of productivity initiatives and by lower restructuring expenses. In Mexico, sales increased 6.2% driven by good performance in most categories, primarily bread, sweet baked goods, tortillas and cookies as well as most channels, mainly the modern channel. These results were partially offset by weak results across the food service channels due to COVID-19 pandemic as well as pressure in the confectionery and snacks categories. In Latin America, the 3.8% sales increase was attributable to good growth, especially at our LatAm central division and across most countries, mainly Brazil, Peru and Paraguay as well as FX rate benefit. Productivity initiatives across the region have enabled us to expand our margins as well as a he recovery in our Brazilian operation. In EAA, sales increased 1.8%on the back of strong performance of our package branded business across most geographies while we did see pressure coming from the QSR business, mainly in China due to the pandemic. EBITDA margin in EAA improved by 90 basis points, reflecting the sales performance coupled with lower general expenses, which was offset by integration expenses, in part related to the closure of our Granollers plant in Spain, which is part of the last phase of the integration of our Donuts business. Finally, while we all remain focused on executing through these rapidly evolving situation, I would like to reaffirm our commitment to our consumers, customers, associates, suppliers and communities and more importantly to emphasize that our long term strategy has not changed. We continue to closely monitor the current situation and we remain flexible, enabling us to pivot to best serve all our stakeholders and to maximize our opportunity in the markets. We will continue to provide updated information as the situation evolves. I would now like to turn over the call to Diego who will walk you through our financial decisions and results. Please, Diego, go ahead.
Diego Gaxiola: Thank you Daniel. Good afternoon everyone. I hope that you and your loved ones are healthy and taking good care. I would like to start by mentioning the specific financial decisions we made in the past weeks, which are mainly focused on cash generation and preservation, making sure that we have more flexibility in this environment. First, we are completely reviewing our CapEx plan for the coming months, carefully reducing administrative expenses and postponing some restructuring projects as well as reducing general expenses where possible. We drew $720 million from our committed revolving credit facility which has a total value of $2 billion. The drawn credit line has a maturity on October 2023. The resources will be used to refinance our outstanding $200 million bond maturing in June of this year while the balance was drawn to increase our liquidity, having the flexibility and our financial strength. With this, we keep a solid amortization profile with an average maturity of 12 years and still have $1.3 billion outstanding that provide us with more flexibility and liquidity for future needs. Given the recent FX volatility, I would like to remind you that we hedge our FX needs mainly in markets like Mexico, where we have a rolling policy that goes up to 14 months and we have the majority of our U.S. needs already hedged for 2020 before the devaluation of the peso. Now, moving into results of the quarter, I would like to start by mentioning that our adjusted EBITDA is now comparable and includes the effect of IFRS 16 for both periods. Topline increased 7% as a reflection of strong consumption demand across most markets and to a lesser extent FX rate benefit. Adjusted EBITDA margin improved by 50 basis points. Please note that EBITDA is being adjusted by the $150 million non-cash charge related to MEPPs which was reduced to reflect the recent decline in interest rates. It is worth highlighting that our business today is more diversified than it has ever been, with Mexico now representing only 32% of our sales. Over 50% of all our revenues are denominated in hard currency. Our financing cost declined by nearly 15% mainly associated with an FX rate benefit coming from the hedging strategy, which more than offset the higher interest expenses arising from a higher debt level and higher exchange rate. The net effect of these factors yielded a significant decline in net majority income due to the MEPPS non-cash charge. If we exclude this charge, it will have increased more than 40% and the margin expanded 60 basis points. Turning to the balance sheet. We ended the quarter with a net debt to adjust EBITDA ratio of 2.8 times. Our total debt increased by MXN33 billion, due to the withdrawal from the revolving credit line that I mentioned and the depreciation of the Mexican peso. Our operating working capital, which mainly considers accounts receivables, inventories and suppliers, has improved significantly by six days over the same period of 2019 which is equivalent of MXN5.2 billion, mostly due to a sequential improvement in our accounts receivable processes and supply chain finance program implemented in North America. Finally, our free cash flow before dividends and the share buyback program totaled MXN2.7 billion in the first quarter. With that, I will conclude my remarks. So please, we will open the mic for the Q&A.
Operator: [Operator Instructions]. Our first question today comes from Ben Theurer with Barclays.
Ben Theurer: Hi. Good afternoon Daniel, Diego and thanks for taking my question. First of all, congrats on the results. These are definitely challenging times but pretty decent first quarter results here. Two quick questions, if I may. So first, Daniel, you shared that food service is a little less than 10% of sales of your consolidated business and clearly has been significantly under pressure. Could you share a little more detail from a regional perspective how relevant is food service in Mexico, North America. LatAm and EAA? Is it all the same, more or less? Or is there a significant difference in the different regions? And how do you think that business is going to come back on over time? And how easy is it to potentially adjust some of the production that's dedicated for food service into retail with what is likely going to last with more increased demand on the retail side? That would be my first question.
Daniel Servitje: Yes. Well, thank you, Ben. Let me tall you that most of the sort of business, the QSR business, is evenly present in all the regions with the exception of EAA which is the one who was the highest percentage of QSR business. In the rest, I would say that we cover very well the channel, but it represents more or less similar a proportion of our sales relative to the wholesale business that we have. And we are seeing that in China starting to recover the QSR market as well as Korea. And we are hopeful that we will start to see a good trend over the coming quarters in terms of how fast it can get back to their previous levels. It's not going to be certainly in Q2 or Q3, the same level as we had in Q1. But we are thinking that we are on the right track as we are starting to see the situation evolve country-by-country.
Ben Theurer: Okay.
Daniel Servitje: And we do have the capability in most of our facilities to shift the QSR business to retail if there enough demand on that end.
Ben Theurer: Okay. Perfect. And then I have an accounting question for Diego. So on the MEPPs, the $150 million charge, two questions associated. So one, at what FX rate did you adjust during the quarter? And my math shows me roughly 2020. Would that mean that you have to adjust again in the coming quarters? Or is it only a matter of fact where interest rates stand and not so much where actual FX rates are? So just to understand what drives the revision and what you have been using in order to revise the number and basically run it through the income statement?
Diego Gaxiola: Yes. Thank you Ben. The exchange rate, the average exchange rate for the quarter, it was MXN20.50, although on the average for the MEPPs, because of the weight that it had in March with the impact, it was probably slightly higher than that, probably closer to MXN21. Now, the FX has to do with a decline in interest rates. So just to be clear, if we were not to see any changes on interest rate, we will not have any additional impact. So because of the FX, it's not that we will have to adjust the amount that we recognized in Mexican pesos. Now as you know, rates have been very volatile. I mean, as for last Friday, rates were still lower than what we ended the first quarter. So I would probably say, depending on how rates go, we might see some additional impacts. I mean, rates are a very low level and most of the effect is already reflected.
Ben Theurer: Okay. Just to understand, is it a question of a 10-year, 30-year treasury? What's the underlying rate I have to look at in order to understand in the future because obviously I just have to look it up by the end of June, but I would like to know which rate I have to refer to?
Diego Gaxiola: Well, it's a combination of rates because we match the liabilities with the rates. But if you use the 10 and the 30-year, you are going to get close to the number that we will have to recognize.
Ben Theurer: Okay. Perfect. Thank you. Thank you very much Diego, Daniel. And congrats on the results.
Diego Gaxiola: Thanks.
Operator: Our next question comes from Isabella Simonato with Bank of America.
Isabella Simonato: Thank you. Good evening everyone. Thank you for the call. Can you elaborate or give us a little bit more color of how volumes evolved throughout the first quarter? How was March specifically? We saw [indiscernible] the U.S. quite strong. So if you could provide a little bit of color of how volumes performed throughout Q1 and how are you seeing April up until now? Does the strength continues? Or if you understood the volume in Q1 is more of a restocking? Thank you.
Daniel Servitje: Well, it's a mix-and-match story. It's not a very uniform situation by country. What we can tell you is that we are seeing in general in almost all the countries a good growth in the modern channels and in the pantry type of products like bread, buns, tortillas, toasted bread. In almost all the market, we have sent that these categories performed well. And in almost all countries, we have seen that the modern trade performs very well. Depending on the countries, there are some countries that do perform better than others. I would say the ones in North America have been performing well in the last weeks of March or the last week of March and the last weeks also in the month of April. So that varies. In Latin America, we had countries that performed well for one week and then they dropped and others that have remained strong on the volume side for as long as this crisis has been happening. So what we are reflecting in the volumes, it's the beginning of the crisis. April, we have seen some of the volumes go more normal but that depends on each country and certainly we will report like that on the next quarter how the quarter ended.
Isabella Simonato: That's clear. Thank you.
Operator: Our next question comes from Felipe Ucros with Scotiabank.
Felipe Ucros: Hello Daniel, Diego and team. Thanks for the space for questions and congrats on the operating results. I hope your families are well. Let me ask my first question around capacity and the status of capacity. You did mention that some plants were performing at full capacity, obviously from the high demand on your products and that you have been trying to adjust by adding new capacity, Hazelton being a key example. I am not sure if you have more of those. But I was wondering how that capacity utilization is distributed throughout your locations? And whether you are having to deplete stocks to meet demand or whether you can still increase production to meet any additional demand that may be needed? So just trying to get a sense of how constrained production is, if at all? And then the other question I wanted to ask you about was about the COVID situation at plants. You may have seen that some of your peers, Gruma in particular and ARYZTA reported that they had plant closures due to COVID situations in the U.S. Just wondering if you have had any disruptions due to employees being sick on the lines? Thank you.
Daniel Servitje: Well, yes, in terms of capacity, what I can tell you is that we were able to, whatever we had some capacity left in these lines of products that were in strong demand, we used it and in some cases we no longer were able to provide more product than what we could supply. As we were mentioning, nowadays most of the capacity constraint has eased up. We are able to supply most of the demand nowadays. And we haven't had any cuts due to supply problems with our suppliers. So we are feeling very good about the work our teams have done in all the countries. The second question was regarding the COVID effect. We basically have nowadays four plants that are closed, but not because of any COVID problem inside our plants. Those plants are QSR plants in France, South Africa and Morocco and Kazakhstan. So they are related more to the closure of the QSR business in those countries. We have been able to have good safety measures in our plants. And so far, we have had a good record on being able to produce in our plants.
Felipe Ucros: Okay. That's great to hear. Maybe if I can do a follow-up on QSR. We have heard some reports that restaurants are running at around 40% capacity in China. I was wondering if that's more or less in line with what you are seeing from your clients in QSR in China? And just wondering whether you have an opinion yet on how that may play out in the Americas as compared to China. Thank you.
Daniel Servitje: Well, we have, I will say, a bit higher number than the one that you mentioned about. And we are seeing an upward trend every week since they restarted their economy.
Felipe Ucros: Great. And do you think the Americas will behave sort of similar or no idea at this point?
Daniel Servitje: Well, the big difference in the U.S. and other markets is the takeout, the drive-thru and the takeout part of the business. And that has eased up a little bit the problem compared to other markets that were more sit-in type of customers.
Felipe Ucros: Okay. That's very helpful. Thanks a lot for the color.
Daniel Servitje: Thank you.
Operator: Our next question comes from Barbara Halberstadt with JPMorgan.
Barbara Halberstadt: Hi. Thank you. I hope everyone is safe and healthy. What I wanted to ask is about the working capital for the second quarter and going forward. How you are thinking about it? You mentioned you were anticipating on planning ahead more of your supply or raw material purchases. So just trying to understand how that would pressure, if at all, your working capital for the following quarters? Thank you.
Daniel Servitje: Yes. Hi Barbara. Well, what I can tell you is that we do expect to see some pressure, particularly on accounts receivable in some specific operations, probably more within the QSR customers that we have. But on the other hand, we are also speeding up the supply chain finance program that we have been working on in the U.S. and Canada. And we feel quite optimistic these will continue to bring some additional benefits on the working capital position of the company. And we are also analyzing on the different tax incentives that have been established on the different markets that every country has put in different measures. Some of them will have a delay on the obligation of paying some taxes. That will also help on our cash position for the end of 2020. And in some other cases, we are even having a relief on paying taxes that will help not only on the working capital but also on the net income of the company for the full year. Still we don't have a number. We are doing all the analysis, all the stories in order to see what really applies for us in every market.
Barbara Halberstadt: Great. Thank you.
Operator: Our next question comes from Alan Alanis with Santander.
Alan Alanis: Yes. Thank you so much for taking my question. And Daniel, Diego, Fred, I hope you and your families are fine. I have a question around pricing. But the way I am going to frame it has to do with what we should expect going forward and other things that you said already during the call. I think it's natural to expect that we are going to see a lot of down trading of products across geographies, maybe in some geographies much more than others and this will put pricing pressure down. At the same time, I think Diego you mentioned that you had already hedged the currency for this full year. So I guess two questions. What is your pricing strategy for this year across regions? Is it enough time to give a break in, we should see some weakness on those pricing as people down trade and you are already hedged? And I guess the second question, although it maybe more of a statement is, validation of a statement is, it seems that the prices of raw materials have been coming down in U.S. dollars, particularly sugar or corn and so forth. Are you seeing that as well in terms of less pressure on raw materials that will give you some space to not push the pricing lever across your geographies? Daniel, thank you.
Daniel Servitje: Well, good afternoon, Alan. Let me tell you that obviously there has been some devaluations in some countries. In some, we have been able to cover our cost. In some others, we haven't. So we are managing these with a lot of care and cautious. We don't want to raise prices and we have to be very careful of the environment. In the future, we are trying to optimize our mix whenever it's possible, but be very careful with price increases. So we are sensitive that in some countries we will see, in the in the medium term, some trends towards down trading. And what we hope is to have also alternatives for consumers in the different markets and regions and channels. So again, this is a mosaic and we have to treat every channel and every category in every country in the particular way so as not to lose volume or minimize earning. So it's a delicate balance, one that we are doing. And that's what we envision to continue to do.
Diego Gaxiola: Yes. And Alan, probably let me complement what Daniel mentioned just by giving you the specifics on the hedging strategy that we have, both for FX and commodities. It's a rolling strategy. In the case of commodities, we can go up to 18 months of hedges. So the fact that you mentioned regarding the lower cost on some commodities is not going to be reflected on our results probably until year, a year-and-a-half from now. And the philosophy that we have for this strategy is to provide to the different operations in all the different markets which conditions are quite different in terms of the possibility of moving prices and establishing the right pricing strategy in order to provide that certainty for the operations. So the different operations have time to react and to adapt prices based on the estimated costs, either from commodities or exchange rate when it applies like the case of Mexico and other Latin American markets as well as Canada that we also hedge, the Canadian dollar versus the USD.
Alan Alanis: That is very clear and is very useful. I mean having that certainty in terms of the FX and the commodity prices further 18 months should help you manage the mosaic of decisions that you have to make in terms of pricing. So that's very clear. And stay safe. Thank you so much for the call.
Daniel Servitje: Thank you.
Operator: Our next question comes from Lucas Ferreira with JPMorgan.
Lucas Ferreira: Hi gentlemen. Good afternoon. I have two questions. The first one is on your buybacks. So you have been very active. I am wondering if you are going to renew the plan? If you are going to keep on executing buybacks? If you can give us more details? The second question is on Latin America. You mentioned a few reasons for the improvement in profitability. So wondering if you can give us some more details on that? I am wondering if these are all sustainable gains you are seeing your margin levels for Latin America. Yes, anything, any color you can give us in LatAm would be appreciated. Thank you.
Diego Gaxiola: Yes. Well, you are right. I mean, we were active with the buyback program. We did almost MXN1.7 billion during the first quarter. In total, we have bought back almost MXN4.8 billion, MXN4.7 billion out of the MXN5.2 billion that we have as the limit on the legal reserve. I would say that we will continue to analyze opportunities. But we will be active as we believe that it creates value to our shareholders. But I want to be very clear that today the priority is the cash generation and the cash perseveration in the company. As long as we continue to have strong cash flow generation, as it was the case in the first quarter, we will continue to be active and analyze potential opportunities with the buyback program. Regarding Latin America, I would say that we have started to see positive numbers with a positive trend in Brazil, as Daniel mentioned during the conference. Some other markets have also presented positive results. It's hard to tell if this will continue to be the case for the full year because we have to better understand what's going to be the impact, not only from the health crisis but the economic crisis that we are going to face in the different markets. So probably too early, it's hard to assure that we will maintain this trend.
Lucas Ferreira: Many thanks.
Operator: Our next question comes from Alvaro García with BTG.
Alvaro García: Hi Daniel and Diego. Thanks for the call and hope your family is well. I have three questions. The first, I was wondering if you could sort of, Diego, you mentioned your focus in preserving cash at the moment. But I was wondering if you could sort of grade your appetite for M&A. I am assuming that there might be some opportunities in the QSR space and in the food space generally. So 2.8 times net debt to EBITDA, I was wondering if you could grade your appetite for M&A?
Diego Gaxiola: Well, thank you Alvaro. I would say that even before that we are live in today, we have been very clear that we are pursuing some acquisitions, bolt-on acquisitions, nothing really big that could put additional pressure into the leverage of the company. We did have this increase on the leverage because the way it works ion the accounting side, we had to reflect the new exchange rate on the debt and the P&L still hasn't seen these positive effects from the EBITDA that we have outside of Mexico. That will be higher in the coming quarters and it was only one month out of the last 12 that we had the devaluation of the peso. So, I would say, probably that today, this 2.8, it's probably higher than what we are expecting to finish the year because of these positive translation effect that we will have in the coming quarters, assuming that the exchange rate stays more or less to where it is today. So again, just some bolt-on opportunities. We have our eyes very open and we will analyze any opportunity.
Alvaro García: Great. that's very helpful. And then Europe, Asia and Africa, we saw stronger profitability than expected given the hit to QSR in the quarter. And I was wondering if you could sort of help us walk through, like our understanding is that the QSR assets you purchased, East Balt, had much higher levels of profitability. So from a mix standpoint, it was a bit surprising to see your profitability so strong. So maybe, I don't know if you could point to what was driving that? Whether it was stronger performance out of Iberia? Or may some other driver there?
Diego Gaxiola: Yes. It was probably mixed. As you can imagine, in China, with this lockdown on our QSR customers, that it's an important piece of the business in China and in the region. It was not as strong as what we typically saw every quarter before this pandemic. On other side, the good news is Spain, which is the biggest of the operations in EAA and it represented as we were seeing since a year ago a very positive trend of strong numbers and that helped the region to achieve this margin expansion of almost one percentage point on EBITDA even with the pressure that we saw in China and some other QSR markets.
Alvaro García: Very impressive on that front. And this one, last one. Sorry for all the questions. On MEPPs, specifically on your multi-employer pension plan, sort of taking a step back and taking a longer term view here, I was wondering, first, if you can remind us on your annual contribution, your cash contribution that's present in your OpEx that we see in your P&L? And second, maybe your level of optimism with regard to reform in U.S. There was some sort of expectation that we would see that at the beginning of this year. We obviously haven't that given what's transpired. But sort of some form of update as to your level of optimism with regard to reform. Thank you.
Diego Gaxiola: Yes. Our cash contribution on MEPPs is a little above $100 million a year. It's been stable on that amount. And I think it's a very good question on the second one. I mean, hard to tell, we will probably feel a little bit more optimistic with this program that the government in the U.S. has established for this $2 trillion. We believe that the probability of seeing something flow into the pension plans, it's higher. So we probably feel a little bit more optimistic that we can see some help in this regard.
Alvaro García: Great. Thank you very much.
Operator: Our next question comes from Ben Theurer with Barclays.
Ben Theurer: Yes. Just a quick follow-up and I was looking up. So you have mentioned that you are basically analyzing some of your CapEx commitments for this year as well as some of the restructuring. So I was just wondering, from the ballpark you gave, during the fourth quarter conference call when you said you expect CapEx to in somewhere between $700 million to $800 million. How much of that CapEx is some sort of indisposable, i.e., maintenance CapEx you have to do? And how much would be more like strategic CapEx, if you want to call it that way, that could be potentially delayed considering how you want to preserve CapEx? And how is that actually related to some of the restructuring initiatives you are having on the businesses you have recently acquired?
Diego Gaxiola: Yes. The maintenance CapEx that we have, it's something in between $400 million to $450 million every year. We still haven't arrived to the final number of where we are going to land for 2020. On the top of the maintenance CapEx that of course we are not going to take out anything, there are some projects, the strategic projects that were already in place that we started last year, that it doesn't make sense to stop the investment. And there are some other strategic projects with a very good return that because of the cash flow generation that we have been able to achieve, we will go forward with these projects. So there are some that I would like to say, they are not going to be canceled. They are going to be postponed until we see things start to stabilize with the health crisis. And definitely these will help on the cash flow generation. We feel, again, very confident that instead of in something between $700 million to $800 million is going to be below that number but still haven't finished the detail in order to provide a good guidance. And I am sure we will do it in the next conference call.
Ben Theurer: Okay. Perfect. Thank you very much.
Operator: Our next question comes from Ron Dadina with MUFG.
Ron Dadina: Hello. Good evening everyone and thank you. I know this question has been asked earlier but I still don't have a complete handle on it. For your system as a whole, what percentage of total sales in to the QSR channel? And for the second quarter 2020 as well as for the rest of the year, do you think the retail channel will be able to absorb the drop in sales? And if not, roughly what is the expected overall drop in volumes or revenues in second quarter or for the rest of the year? I appreciate your help with that. Thank you.
Diego Gaxiola: Yes. Well, on the first question, that food service is less than 10% of our revenues. And I am sorry, I couldn't hear you very well on the second question. Maybe you can repeat it?
Ron Dadina: Yes. Well, sales to the channel fully absorb the drop in food service sales for the rest of the year or for second quarter 2020?
Diego Gaxiola: Yes. It's probably early to tell. April has continued to be generally speaking a strong month. I think it's still early to early to tell on the expectation for the second quarter and for the full year.
Ron Dadina: Okay. Thank you.
Operator: This concludes the question-and-answer session. At the time, I would like to turn the floor back to Mr. Daniel Servitje for any closing remarks.
Daniel Servitje: Well, thank you all for your time today. Please do not hesitate to contact us with any further comments or questions you may have. Thank you.
Operator: Thank you. This concludes today's presentation. You may disconnect your line at this time and have a nice day.